Operator: Greetings, and welcome to the S&T Bancorp, Inc. First Quarter 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mark Kochvar, Chief Financial Officer for S&T Bancorp. Thank you, Mr. Kochvar. You may begin.
Mark Kochvar: Okay. Thanks very much. Good afternoon, and thank you for participating in today's conference call. Before beginning the presentation, I want to take time to refer you to our statement about forward-looking statements and risk factors, which is on the screen in front of you. This statement provides cautionary language required by the Securities and Exchange Commission for forward-looking statements that may be included in this presentation. A copy of the first quarter earnings release can be obtained by clicking on the press release link on your screen or by visiting our Investor Relations website at www.stbancorp.com. I would now like to introduce Todd Brice, S&T's CEO, who will provide an overview of S&T's results.
Todd Brice: Thank you, Mark, and good afternoon, everyone. For the first quarter of 2019, we’ve announced net income of $22.9 million or $0.66 per share versus $26.2 million or $0.75 per share in the first quarter of 2018 and $26.9 million or $0.70 (sic) [$0.77] per share in the fourth quarter. For the quarter, the return on assets were 1.29%, return on equity was 9.84% and return on tangible common equity was 14.27%. Growth in deposits was particularly strong as balances increased by $159.5 million or 11% annualized, and this enabled us to pay down higher cost borrowed funds and also reduce some of our broker deposits. We did run some special promotions in select markets and really had a positive response. I think, more importantly, we were able to bring 1,000 new households in through these efforts and now we’ll work diligently to convert these to long-term clients. Total loans are essentially flat, down $11 million. However average balances were up approximately $75 million for the quarter as a result of robust loan activity at the end of Q4. David Antolik will provide more color on loan activity in his comments, but I do want to mention that we are seeing positive momentum throughout our regions in our various revenue producing lines of business. Net interest margin was a bright spot for the quarter, increasing 6 basis points to 3.71% versus 3.65% at year-end. As a result, net interest income increased by $500,000 in the first quarter. Charge-offs and loan loss provision were higher than anticipated with net charge-offs of $5.2 million and provision expense of $5.6 million. Charge-offs were impacted by two credits, first $4 million charge-off for a C&I borrower in our Northeast Ohio market, and we still have a remaining exposure, about $6 million. The borrower is in the construction business and has been a customer since 2003, but he did experience financial distress due to a loss on a large contract. We restructured that credit facility and the remaining balance is performing. The second credit is $1.1 million charge-off for a C&I borrower in our Western Pennsylvania market with the remaining exposure of about $3 million. This loan was nonperforming at the end of Q4. The borrower is an automotive related entity. This has been a customer since 2007. In Q1, they experienced further deterioration in operations due to external pressures, which led to a quarter point of receiver to negotiate the sale of the assets, which we expect to close in Q3. Our expectation for full-year net charge-offs is around 20 basis points. In the first quarter, we continued to take advantage of our strong capital position and repurchased 314,000 shares or approximate $12.3 million. Total shares repurchased including Q4 of last year now total 680,000 shares or about $26.3 million under our previously disclosed $50 million share repurchase program. We will continue to monitor market conditions and look for opportunities for future purposes. I’m pleased to announce that we recently opened our new retail banking location in Columbus, Ohio, which will complement the activities of our commercial banking team. Our results for the first three weeks that we've been open have been very encouraging. And on April 22nd, we are also opening a new retail location in our Northeast Ohio, market in Cuyahoga Falls to capitalize on the momentum that we’re experiencing in our Akron office which opened about 18 months ago and has generated $70 million in deposits. Both of these locations will offer a full suite of retail products and services as well as business banking and mortgage offerings. And finally, I want to mention that our Board of Directors approved a $0.27 per share dividend that will be paid on May 16th, and this represents an 8% increase over a dividend that was paid in the first quarter of last year. So, I want to thank you for your continued support of S&T Bancorp. And now, I’d like to turn the program over to our President and Chief Lending Officer, David Antolik.
David Antolik: Thanks, Todd. Good afternoon, everyone. Similar to last year, loan growth slowed in the first quarter, following a strong finish to 2018, resulting in a $75.3 million increase in average loan balances in Q1. We experienced solid C&I growth of nearly $20 million in the quarter; this was a result of new customer acquisition activity and is reflected in increase in our revolving commitments for each of the last four quarters. These commitments stand as our highest point in five years. This success is also reflection of the investments that we’ve made by adding five additional C&I bankers in the past year, all while keeping commercial banking FTE count flat. We also saw utilization rates rise by 1% during the quarter. That rate now stands at 42%. Offsetting this growth was an $11 million decline in the construction segment. Commercial construction balances reduced by $20 million -- $20 million reduction in the permanent CRE segment. The construction balance decline was anticipated as projects completed and moved to the CRE category. Unfunded construction commitments were relatively unchanged when compared to year-end 2018. We have seen an uptick in activity, and March was a particularly strong month for new commitments as we head into 2019 construction season. With regard to the permanent CRE category, we saw slower new loan volume and a combination of sales and permanent market payoffs driving balances lower. Consumer loan balances were flat for the quarter. The implementation of our market-based growth platform has supported positive results in several ways, including the strong deposit growth experienced in Q1. Additionally, much of the focus of our market precedence has been turn to loan pipeline growth and management. As a result, we have seen pipeline improvement in all categories when compared to one year ago. This improvement allows us to remain comfortable with our mid single digit full-year loan growth forecast. As Todd mentioned, we recently celebrated the opening of our new location in Hilliard, Ohio, a Columbus suburb. I look forward to the opening of our Cuyahoga Falls retail location, which is just outside of Akron. Each of these new locations represent the continuing evolution and expansion of the S&T brand in Central Ohio and Northeast Ohio. We also look forward to the opening of our newest LPO location in Buffalo, New York in May. In conclusion, new customer acquisition activity remains our focus and a solid in all categories. Our pipeline is expanded and we continue to build our new markets and hire highly qualified and motivated bankers in support of our market-based growth platform and in order to drive revenue growth. And now, Mark will provide with you some additional details on our financial results.
Mark Kochvar: Thanks, Dave. Net interest income improved by $0.5 million, despite two fewer days in the quarter due to average loan growth of $75 million, primarily from loans booked late in 2018, combined with about $630,000 of higher prepayment fees and interest adjustments. The fees and adjustments contributed about 4 basis points to the net interest margin rate, which improved overall by 6 basis points compared to fourth quarter. Strong deposit growth was also a contributing factor to net interest margin rate improvement as we were able to pay down more expensive borrowings, reducing our loan to deposit ratio and improving our funding mix. We continue to expect some margin compression, little bit more in the second quarter, which is unlikely to have a same level of prepayments and adjustments as we had in the first quarter. This should bring the rate down by at least a 4 basis points in the second quarter. And on top of that, cumulative deposit base will continue to increase, although at a slower pace, balance sheet growth should return, which combined will pressure NIM by an additional 1 to 2 basis points. Beyond the second quarter, we continue to expect that the net interest margin rate will stabilize. Both fees and expenses were again impacted in the first quarter by deferred compensation plan that is accounted for as an offsetting asset and liability in balance sheet. Quarterly market value changes, result in offsetting fees and expenses. This is P&L neutral and typically is not large enough to show up in our results. However, due to the market rebound in the first quarter, we experienced a $574,000 increase in both fees and expenses. Last quarter, we saw an $856,0000 decline in both fees and expenses, which combined results in a $1.4 million change when comparing to fourth quarter of ‘18 to the first quarter of ‘19. This shows up in other in noninterest income, and salaries and benefits in noninterest expense. Taking this P&L neutral compensation plan impact out of noninterest income, leaves a decrease of about $1.2 million and noninterest expense increase of about $1.1 million, both of those are compared to the fourth quarter. So, the 1.2 million decline in noninterest income is in several categories, most significant being lower customers swap fees, which shows up in other; we have some lower debt and credit card fees due to fewer days and some seasonality and lower wealth fees due to the overall market being down and reduced financial services activity. On the expense side, there is a $1.1 million increase, which is also in several categories, most significant being higher incentives and seasonality higher payroll taxes in salaries and benefits, and seasonal higher branch maintenance expense and a new location in occupancy and some costs associated with the new loan system in the equipment line. Going forward into 2019, we expect fee income to be approximately $11.5 million to $12 million per quarter and expenses to range between $37.5 million and $38.5 million per quarter. Our tax rate in the first quarter was a little over than expected due to some discrete items. And we expect our effective tax rate to be approximately 16.5% for the full year 2019. Our risk-based capital ratios were essentially unchanged in the first quarter, primarily due to the share repurchases mentioned earlier. Thanks very much. At this time, I'd like to turn it back over to the operator to provide instructions for asking questions.
Operator: [Operator Instructions] Our first question comes from line of Russell Gunther with D.A. Davidson. Please proceed with your question.
Russell Gunther: I appreciate the comments on the loan growth outlook. I was just wondering if you could give us a bit of a finer sense for what the drivers of growth will be from a loan vertical perspective, as well as any regional pockets of strength we’d expect to contribute to that mid single digit number for ‘19?
Mark Kochvar: Yes. Geographically, the two markets that have shown the best growth are Central Ohio and Central Pennsylvania. We've also seen pipeline growth in Western Pennsylvania as well. The first quarter was relatively flat for central Ohio and Northeast Ohio. We expect upstate New York to grow as well. So, there were some soft markets in the first quarter, most of the growth in the first quarter came out of Central Pennsylvania. In terms of the verticals C&I continues to perform well; our business banking segment has performed very well, has been the most consistent grower for our Company, where we’ve seen some noises in the past in the CRE and the construction but those pipelines are growing as well.
Todd Brice: And then, the mortgage activity is about 25% higher at the end of the quarter versus where it was at the end of the first quarter last year.
Russell Gunther: Okay, great. Now, that’s helpful color there, guys. And then on the expectations for the margin in the back half for the year to stabilize post the step-down you talked about for 2Q, could you just let us know are you assuming anything in the way of rate hikes this year? And then, if not, is that stabilization really you think you're going to be able to defend spreads on the asset side or not so much of a deposit beta ramp-up? Just kind of help me understand what your stabilization guidance really reflects.
Mark Kochvar: We don’t have any Fed increases in there, so that I’ll assume is a Fed pause. I think, on the loan side, we expect the spreads to hold up and stabilize in there. We do have little bit of improved pricing from some arms that reprice throughout the year, so we pick up a little bit there. And on the deposit side, we should expect the betas to begin to moderate. We have repriced a lot of our accounts and expect that to slow. So, we might see a basis point here or there but we do expect that once we get through second quarter with the easing off of some of the onetime benefits we got in the first quarter along with some additional compression in second quarter, that that should slow down as long as the rates stabilize.
Operator: Our next question comes from the line of Matthew Breese with Piper Jaffray. Please proceed with your question.
Matthew Breese: I just wanted to follow that line of question just for a second. So, as we think about deposit competition, could you characterize how things have played out since the Fed essentially announced they were on pause here? 
Mark Kochvar: We still find the money market at front end, still pretty competitive. We haven’t seen really much blood out there. We have seen some easing on the CD side. They still tend to be relatively short. But, we’ve seen the rates start to come down somewhat and somewhat easing on the pricing on the CDs. But, the front end is still competitive. But, we haven’t see it increase anymore. I think, we’ve kind of stopped in terms of how big the offers are on rates.
Matthew Breese: Right. And I know there is going to be a lag here, deposit costs will continue to decrease. But, where is the peak if things stay exactly as they are today, what point, what quarter do we see deposit costs essentially top off?
Mark Kochvar: I think, they’ll increase slightly for several more quarters because at least for us we still have probably another two to three quarters of CD repricing to go, but that book had gotten so short over the last several years that almost all the reprices within 15 months or so, 15 to 18 months. So, we probably have a couple more quarters of CD but counteract that the CD book has shrunk relative to the size of the portfolio. So, it doesn’t have the impact that it did 10 years ago. So, we probably have another couple of quarters on the CD side. The money market rates should begin to slow down as we reprice a lot of those. So, the wild card is still -- we do still have some lower priced folks in some older savings and money market to the extent that they continue to wake up and demand a higher rate or move to other products. We still could see some leakage. But I guess, I would guess the peak is third or fourth quarter.
Matthew Breese: And then, thinking about the pipeline, excluding mortgage maybe as we think about what's driving the consistent growth outlook for the year and it implies some acceleration of growth. Is that due to market dynamics or you’ve seen a pick-up in activity or you’ve seen some of the new hires really kick in or how would you kind of break those two apart? 
Mark Kochvar: It’s a combination of new hires and some of our activates in the new market. So, as we enter Buffalo, that will be a new market for us, as we expand in Central Ohio, as we expand in Central Pennsylvania as well. So, it’s a combination of staff and market.
Todd Brice: Dave mentioned that we’ve been able to kind of keep the headcount flat. So, we’ve had some retirements or some exits in some of our more mature markets and then you reallocate some of those dollars into higher growth markets. So, it’s been a nice trade for us. 
Matthew Breese: And then, last one is just in regards to CECL. I know we’re still a ways away but do you have any preliminary thoughts on how that first stage reserve could shake out? 
Mark Kochvar: Yes. Matt, this is Mark. We are still working through the modeling. We're making a lot good progress, but we don’t have an estimate as of today.
Matthew Breese: Okay. I mean, if you had to shake out the margin, the reserves going higher or lower, where would you...
Mark Kochvar: I’d definitely say higher; we're not going to do a whoever that was well, definitely it’s higher but I’m not really sure how much at this point.
Operator: Our next question comes from the line of Collyn Gilbert with KBW. Please proceed with your question.
Collyn Gilbert: Mark, I just wanted to clarify on the NIM guidance that you gave. So, is it collectively, then are we looking closer to like 6 basis points of decline to the 4, because of the prepays and then 1 to 2 because of deposit pricing pressure?
Mark Kochvar: That's correct.
Collyn Gilbert: Okay. And then, just on the credit outlook, I apologize, I missed the beginning of your comments, Todd, as you kind of were running through some of these credits. And I think you gave what you are anticipating the net charge-offs ratio to be going forward. Can you just say what that is again, and then just sort of what your assumptions are going into that -- into those numbers or just how you're seeing credit in general sort of trending after these couple of quarters here?
Todd Brice: Yes. Sure. Thanks, Collyn. Pat Haberfield is here. So I'm going to let him weigh in. 
Pat Haberfield: I think, the full year net charge-off ratio, we believe it’s going to be around 20 basis points. Again, these credits -- and we’ve kind of gone back through and looked at the portfolio. And I think we’ve been saying in that 20 basis-point range for the last couple of quarters for this year. And right now, we don't see anything that really change our mind from coming off of that number.
Collyn Gilbert: And then, just kind of broadly, so these couple issues, and you had indicated kind of when these -- the customers came into the bank, Todd. But is there anything else that you're seeing sort of structurally or areas that you're a little bit cautious on or if you are thinking that -- when credit cracks, is there anything that you would point to as sort of the catalyst for that or just kind of curious how you're thinking about that cycle?
Todd Brice: So, right now, these are kind of one-offs, and it was just an operating company got into a bad contract and so it caused some distress on their financials, they still have business coming in the door. And so, we just kind of had to restructure the debt. They signed a note. We get paid down, down the road on it. But it’d been different markets, different industries. So, we're not seeing anything systemic through the portfolio. Is that right?
Pat Haberfield: That's right. And Collyn, it seems like every time we run into a situation, it's kind of, I don't want to say unique, I don’t want to call it a one-off. But, it's just something else that was going on in that particular industry or with that particular business. And again, from having these on the books from anywhere from five years to well over 10 years, I think just experiencing some stress within their own business model maybe.
Todd Brice: But just in various conversations, Collyn, with clients across the different markets, business conditions are good right now and people have positive outlook, and they're hiring, if they can find people. I think that's probably the one area that's a little bit tougher. Everybody, no matter what industry, you're looking at right now is finding qualified people to fill the open positions. But, manufacturing seems to be steady and auto businesses are steady, and real estate has been active. So, some of the different buckets that we lend into right now are still in the growth mode.
Collyn Gilbert: And then, just on the capital deployment. So, you talked about kind of your purchase appetite. But, I guess, Mark, as you're looking at -- you guys are sitting with a very robust capital structure, how aggressive or how do you want to manage -- sort of foresee managing that capital ratio down and then how are you going to sort of prioritize some of those capital management tools?
Mark Kochvar: We look at our TCE ratio, and our comfort zone is 8 to 9, so kind of low 9 fits there, so we're managing in that general neighborhood. And our first priority would be to -- for loan growth. So, we’ll let that guide us first. And then secondly, we would use buyback to help us manage that. But with an towards the price and the payback that we get from that. If the price seems little too much, regardless of what our TCE is, we would back away from that. And then, we always want to have a little bit of capital ready in case an M&A opportunity were to present itself.
Collyn Gilbert: And that leads me to my final question, just in terms of how you're seeing the environment out there as it relates to M&A? Is there more chatter happening, is there -- do you feel like you could -- the probability of deploying of a deal this year is high? Just maybe talk a little bit about M&A.
Todd Brice: Yes. I mean, I don’t think it’s really changed a lot in the last couple of quarters; it’s been kind of quite. Again, we would have an interest in routing out something in the Ohio markets if we would find something out there or adding something to the Central PA franchise. And there would be some names in Western Pennsylvania, if they would come to market, we would defiantly have an interest. So, we have conversations and just be prepared for if and when an opportunity would present itself.
Operator: There are no further questions in the queue. I would like to hand the call back to management for closing comments.
Todd Brice: I just want to thank everybody for participating in today's conference call. Mark and Dave and I appreciate the opportunity to discuss our quarterly results and look forward to hearing from you at our next conference call. Have a great day.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.